Operator: Welcome to the Gevo Q2 Earnings Report. My name is John and I’ll be your operator for today’s call. At this time, all parties are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Mark Smith. Mr. Smith, you may begin.
Mark Smith: Good afternoon and thank you for joining Gevo second quarter 2013 conference call. I’m Mark Smith, Gevo’s CFO. With me today are Pat Gruber, our chief executive officer and Brett Lund, our EVP and general counsel. Earlier this afternoon, we issued a press release which is one of the topics that we planned to discuss today. The copy of this release is available on our website at www.gevo.com I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of the discussion will be available on our website later today. On the call today and on this webcast, there will be discussions of non-GAAP financial measures, non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We will also provide certain forward-looking statements about events and circumstances not yet occurred, including projections of Gevo’s operating activities for 2013 and beyond. These statements are based on management’s current belief, expectations and assumptions and are subject to significant risks and uncertainty, including those disclosed in Gevo’s most recent annual report on Form 10-K as amended, most recent quarter report on Form 10-Q and in subsequent reports and other filings made with the SEC. Investors are cautioned not to place undue reliance on any such forward looking statements, such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as result of new information, future events or otherwise. Please refer to Gevo’s SEC filings for detailed discussions and of the relevant risks and uncertainties. In today’s call, Pat Gruber will begin with a review of our recent developments. I will then review our financial results of the second quarter of 2013. Following the presentation, we’ll open the call up for questions. Brett will also be available for questions and answer section of today’s call. I will now turn the call over to Pat Gruber, Gevo’s CEO.
Pat Gruber: Thank you, Mark, and thanks, everyone, for taking the time to listen to our quarterly call. Our operation’s focus is totally a startup production of isobutanol at Luverne. It is the most important thing we are doing. It is the pathway to generating value for our shareholders. Our initial production rounds have gone very well. In June, we announced the resumption of commercial scale production of isobutanol at Luverne in single-training mode successfully utilizing the GIFT system. We had not previously wrapped the GIFT system at full scale, so this is major step forward in learning how to run our plants. As we described in June, last year, when we first started up the plant, we encountered some microbial contamination above and beyond what we had expected. Through a combination of changes to the fermentation conditions and related operating parameters, the equipment modifications to improve sanitization and procedures in the plant to enhance the operating discipline, we have since learn to control and manage these infections in the production environment. Building on this initial success, last Thursday, we announced that we have started up a second 1 million leader fermenter and GIFT system. This step further validates our know-how. Our focus now turns to bring the last fermenters and the GIFT system online. We expect to do that in the third and fourth quarters. We’ve learned that we can reduce infections by over a thousand fold. We’ve confirmed that our full scale production operates as predicted in pilot plant experiments. We’ve learned and will continue to learn the procedures used in the plants. We are achieving our goals. We’ll bring the whole integrated plant up on mash in the third and fourth quarters. We plan on doing a rate test to find what if any bottlenecks we might have. We plan on settling into production mode and becoming good at delivery quality product. We will have to build a small inventory to support our customers particularly while we work through with the full plant startup. The main focus for us is getting product produced and sold. We plan to keep improving production in sales through 2013 and in 2014, we’ve expected our plan to be at plant level EBITDA positive economics in terms of production in sales. We will be increasing the focus on sales and market development now that we have product to move. Our intent is to seed markets, get the channels to market prime to accept increasing amounts of isobutanol. Our focus in the market will continue to be on special chemicals and special fuels. We need to get the plant going and show our customers that we can supply consistently. Let’s not escape our attention that RINs are trading high values and had to recall isobutanol generates 1.3 RINs per gallon used in gasoline blendstock. This is good for our business and the value of our product. The compatibility of isobutanol with engines and infrastructure and the properties of isobutanol in fuels like it has higher energy and low water solubility make isobutanol an attractive product for reaching the blend wall. We also began supplying isobutanol to the coast guard for certification testing in their boats. The reason that they are interested is that isobutanol offers more protection from fuel problems that can arise when water gets into fuels, fewer stalls, fewer engine issues. We also continue sending our isobutanol to South Hampton resources where our hydrocarbon demonstration plant is located. There, we will make more jet fuel for the air force, army and navy. We’re also deploying a para-xylene plant. Para-xylene is building block for making polyester, that’s polymer or plastic that goes into bottles and fibers. I thank the Coca-Cola Company and Toray for supporting the work to transform isobutanol into polyester. Summarizing then, our overall plan remained unchanged. We’re bringing up all of our fermenters, all our GIFT systems in the third and fourth quarters. We’ll test run rates, then ramp up production in sales in the rest of 2013 and throughout 2014, job one as the plant startup. I do have comments on the patent dispute with Butamax. The week before last, the court handed down a summary judgment decision regarding two of our patents over which we had sued Butamax. The court determined that Butamax is using a very end [ph] of technology that’s not covered by our claims. Per context, the 375 and 376 covered in the ruling from July 26 only applied individual modifications to the isobutanol pathway. These two patents represent two of the 480 patents and patent applications in our portfolio. In contrast, the lawsuit which we won earlier this year applied to the entire isobutanol pathway. Butamax has filed acclaimed for attorney’s fees. This boils up [ph] for a [inaudible] we believe should be rejected. The simple outcome is this, Butamax isn’t using these parts of our patented technology today and we retained or improving [ph] the practice of our technology. I don’t think there will be a need for trial on August 12. We remained confident on our strong intellectual property portfolio which includes patents to a suite of microorganisms containing distinct genetic modifications that enable the commercially viable production of isobutanol. Our technology combined with our team has positioned us as the first strategic commercial production of renewable isobutanol. I will now turn the call over to Mark Smith to review the numbers.
Mark Smith: Thank you, Pat. With our current operations focused on starting production at Luverne, we reported revenue in the second quarter of 2013 of $1.9 million which was made up of revenue under our research agreement with Coca-Cola, sales of biobased jet fuels at the US Air Force, revenue from ongoing research agreements and proceeds of $900,000 as we essentially completed our efforts to manage down working capital through reducing corn inventory. Between the remaining corn on hand in locally available corn to purchase, we have accessed the sufficient corn [inaudible] stock for future plan isobutanol production. Further, as corn prices have come down, we will resume replenishing our corn inventory at low prices as we move to ramp up isobutanol production from corn mash in the coming months. Revenue in the second quarter of 2012 was $7 million largely from the sales of ethanol and related products. Recall that we ceased ethanol production in early May 2012. Research and development expense $5.8 million in the second quarter of 2013 compared to $4.7 million reported in the second quarter of 2012. Our development activities in the second quarter of 2013 were directed to the startup operations at Luverne in optimization of specific parts of our technology to further enhance isobutanol production rates, as well as the work on bio-jet and bio-para-xylene at the hydrocarbon pilot plant in Silsbee, Texas. The increase in research and development expense in the second quarter of 2013 compared to last year and to the prior quarter of this year resulted from our investment in the bio-para-xylene processing equipment at the bio plant recalled that in anticipation of this project, Toray Industries contributed funding to us last year for this equipment. We also delivered bio-jet product that was produced at the Silsbee facility during the quarter. Our bio-jet pilot facility is indirectly funded through testing product revenue from the US Air Force and the US Army. SG&A expense of the second quarter of 2013 decreased to $6.3 million compared to $9.5 million in the comparable quarter of 2012. Our second quarter 2013 results continued to reflect the benefit from cost saving actions taken in the second half of 2012 to reduce ongoing litigation and legal cost, compensation cost within SG&A and outside services expenses. These specific expenses were approximately $1.9 million lower in the second quarter of 2013 compared to the second quarter of 2012. Within total operating expenses for the second quarter of 2013, we reported $1 million to non-cash stock-based compensation. Interest expense for the second quarter of 2013 was $2.3 million compared to $500,000 in the second quarter of 2012. The increase resulted from interest incurred on our convertible notes due ‘22 which were issued in July 2012. Also, due to accounting rules, $1 million of interest incurred in the second quarter of 2012 was capitalized and recorded as capital expenditure for the retrofit of the Luverne facility enterprise [ph] to its interest expense. We also reported a non-cash gain of $2 million related to changes in the fair value of embedded derivatives contained in the convertible notes. These derivatives result from the right that holders of the convertible notes have upon conversion, and as we have discussed over the past four quarters, will in non-cash amounts being recorded as statement of operation that changes in fair value in each reporting period while the convertible notes remained outstanding. Also during the second quarter of 2013, we reported a non-cash loss of $1.1 million for the early extinguishment of convertible debt. During the second quarter, holders of $8.9 million of our convertible debt opted to convert their note holdings into shares of our common stock. Upon conversion, these holders received a total of 2,979,022 shares of common stock, made up of 1,561,324 shares of common stock issued upon conversion of the convertible notes and an aggregate of 1,417,324 shares of common stock issued in satisfaction of make-whole payments. The effective issue price in full settlement of the convertible notes during the three months ended June 3oth, 2013 was $3.75 per share. The gross amount of convertible note debt outstanding at June 30 of 2013 before adjusting for the impact of fair market value was $26.9 million compared to $35.8 million outstanding at March 31, 2013 and $45 million outstanding at December 31, 2012. Following the issuance of common stock and settlement of these debt conversions, we had 46,912,536 shares outstanding at June 30th, 2013. For the second quarter of 2013, we reported a net loss of $15.2 million or $0.35 per share based on a weighted average shares outstanding of 43,371,992. This compared to a net loss of $16.2 million in the second quarter of 2012 or $0.62 per share. Cash on hand at quarter end was $41 million. Our operations and planning focus is on the resumption of isobutanol production at Luverne and ramping the economic production levels. We will also continue to support our intellectual property positions. In addition to our development goals and defending our freedom to operate were also focused on our cash needs. We have taken a number of organizational and operational steps in 2012 and 2013 to reduce our ongoing cash burn which have burn result this year to-date is [ph] with a reduced cash burn rate. With cash on hand at quarter end of $41 million and the actions we have taken to manage our cash burn from operations, we are position to pursue our business strategies through this year and into the first quarter of 2014, where [ph] a growth gap story. To support future growth, we will work to enhance our balance sheet including working to restructure our secured debt on the Luverne plant. With the self-registration statement in place, we are position to act opportunistically on financing. We delivered a true make in progress at the Luverne plant to advance toward commercialization of renewable isobutanol, we better position Gevo for future funding. I will now turn the call back to Pat Gruber.
Pat Gruber: Thanks, Mark. And I think with that, we can open up for questions.
Operator: Thank you. And we’ll now begin the question-and-answer session. (Operator Instruction) Our first question comes from Mike Ritzenthaler from Piper Jaffray.
Mike Ritzenthaler – Piper Jaffray: Good afternoon, gentlemen. As we look into the back half which patent [ph] synergy will be focused on switching over to mash, ramping up production in sales, delivering on these existing contract in fuels and some work with para-xylene, how would you be able to be sort of communicating some of these milestones as they happen for in some other project [ph]?
Mark Smith: Hello? There we go. Michael? Mike, can you hear me? Operator, can we open the line?
Operator: Your line is now open.
Mark Smith: Mike Ritzenthaler, can you hear me?
Operator: If you’re still on the line, please press star, then one on your touchtone phone.
Pat Gruber: I think he was asking –
Operator: Your line is now open again.
Mark Smith: Okay. Mike, [inaudible].
Mike Ritzenthaler – Piper Jaffray: Okay. I know but can you guys hear me?
Mark Smith: Now, yes. Okay, we’re in communication. Good. What was the question, Mike?
Mike Ritzenthaler – Piper Jaffray: Sorry about that. Now, after working to the back half, I was just wondering about how you will be communicating some of the milestones in which you said that you’ll be switching and focusing on – switching over to mash, ramping up production in sales, delivering on some of the existing fuels contract and things like that. Are you going to be communicating those outstanding [ph] as sort of adequately [ph] happened basis?
Mark Smith: Well, let me just recap what it is actually that we’re going to do. We’ve got enough confidence now. We’ve learned a lot about how to run the plant. We’re going to get the whole thing running up together on the integrated basis. We’re going to run at a level, learn how to run at integrated, that would take us very long. I don’t expect and find out what’s going on there. We’ll do rate test to find out about the – how the plant perform from our pushing various aspects of it and then we’re going to settle down into an ongoing production mode. That ongoing production is going to depend upon a couple of things. One is the product, its quality levels, we expect it to be okay, but still, we want to be safer rather than sorry. Our cost production, we’re going to be paying attention because none of us want to burn more cash than we need to because when you startup these plants, it’s so high [ph], it’s more expensive. The plant is not optimizing that and fully economical. And the last one is the selling price and we have lots of good opportunities in the markets. We have to get them all prime. So we’ll start to place product into the market place. We’ll do it kind of at a good level and ramping it up through ‘13 and ‘14. And the question and I think is in everybody’s mind is when you guys get EBITDA positive at the plant level and that would be the second half of 2014.
Mike Ritzenthaler – Piper Jaffray: Did you guys provided what kind of volume run rate whether associated with EBITDA breakeven?
Mark Smith: We have and we will as it gets more clear because some of these markets are interesting from a pricing standpoint and the volumes, too. So we’re latitude on that front and so there, we’re just not prepared yet to say with perfect clarity the exact amounts. It will depend [inaudible] place in the specialty markets at this [inaudible].
Mike Ritzenthaler – Piper Jaffray: Yes, that makes sense. Just one quick clarification on Butamax. There were some adjustments on the different volumes that say [ph] common [ph] back report on that. Is this related to the GIFT infringement, I just want to be cleat that it’s an artifact of basically temporarily dismissing the infringement suit. Is that, again, accurate characterization or – ?
Mark Smith: No, no. It has nothing to do with the GIFT at all. You’re talking about the latest one [ph], Mike?
Mike Ritzenthaler – Piper Jaffray: Yes.
Mark Smith: Yes. These were about two patents, the details – it’s a piece of technology around a gene that produces ethanol, that helps to produce ethanol in a bug and the other one is about an expression of an enzyme in the pathway. It does the two pieces [inaudible] about. And so, the court determined that they have a different way of going about it and that our claims don’t ensnare them.
Mike Ritzenthaler – Piper Jaffray: Okay.
Mark Smith: So nothing to do with GIFT, nothing to do with anything else in our portfolio.
Mike Ritzenthaler – Piper Jaffray: Got you. All right. Thanks, guys.
Mark Smith: Yes.
Operator: Our next question comes from Ben Kallo from Robert W. Baird. Please go ahead.
Ben Kallo – Robert W. Baird: Hey, thanks, guys. In the past, I thought that a little bit of the issues that you guys are dealing with was with your bug per se. Is that fixed because that’s always workout [ph]? There were some run on this [ph] on how you fix it versus everything else.
Mark Smith: The place where we had, there were several parts in what we had to fix, one of them was that we’ve seen [ph] infections. The infections come from in these plants, they covered the environment [ph] at large and when they hit the right growth parameters, they invade our bugs, they’re bacteria usually, step up and start producing like lactic acid or something else and they were coming from quite the right [ph] of places. That’s about sanitization. It’s about equipment. It’s about procedures. That’s what primary variables were. It turns out that we’re struggling out with our same bug that we used last year because our bug last year actually worked quite well and it just [ph] that with these infections. So what we’ve done now is attempt and figured out the operating procedures, modified some of our equipment and modifying some of the fermentation parameters that favors our bug and less of the invader bugs. That’s what we’ve done. Now, we also have several other bugs that we’ll deploy in the future and that are better than what we have and as we go forward, we’ll do that. But the bug we have is a decent bug.
Ben Kallo – Robert W. Baird: It’s the way you deploy other bugs, just lost [ph] in that process there.
Mark Smith: Sure. Yes. Sure. So what we’ve been doing is making sure that our – we have a pilot plants here, we have a 20-meter pilot plant in our laboratories here. We have two major pilot plants and what we do is we characterized these bugs and how they behave at our small plant and then we take them into the big plant. One of the things that we were working on the summer is making sure that our data tracks exactly from the small plant to the big plant and that simplifies deployment of the new bugs. So we have no problems jumping from our small plants here at the laboratory and over into Luverne.
Ben Kallo – Robert W. Baird: To my last question, can you just give us a sense of liters or gallons or whatever unit of measurement you want to give us of in terms of the first run and the second run, how much you delivered or sold?
Mark Smith: We are giving specific guidance amount for delivered or sold, but to give you the sense of these fermentations that these are million liter fermenters. These are big, big, big tanks, 265,000, 275,000 gallons around that order. And you get a lot of isobutanol out of this, any one batch. So that would be in the –
Ben Kallo – Robert W. Baird: Tens of thousands of gallons.
Mark Smith: Tens of thousands of – yes, 10,000 to 20,000 gallons kind of a thing and that’s when we’re just practicing. So, the parameters that we’ll be working on next is running all the fermenters together, working on the term all the time. Initially, we’ll be a little bit slow because we have to work on sequencing between fermenters because it’s a batch-wide [ph] fermentation. But the thing that gives us confidence is the fact that we’re able to operate on the single train modes, dual train mode and have this equipment tested out, so we’ve got these microbial contaminations and the infections under control.
Ben Kallo – Robert W. Baird: I guess last one, the growth rate of bugs, how does that impact the actual economics of the plant?
Mark Smith: It depends. So the way to think the variables that are important are obviously the number one contributor always is to feedstock cost, always the most important. So last year, you remember, it was like $8 feedstock and as far as [inaudible] 8 bucks. This year is much better looking on its way to – it’s the force [ph]. That’s a good thing for all of us. That’s the most important contributor. The second way is the yields are important. So yield above 80% are good, above 90% are great. And so the next one then is productivity or the rate of production. The rate of production is interesting because you can modify that two ways. You can modify it through the hair characteristics of bugs or you could actually use more bugs in the fermentation and to modify your fermentation condition. So we have several levers to do to modify rate. But there isn’t a certain threshold rate that we care about. And so these bugs seem to meet those.
Operator: Our next question comes from Pavel Molchanov from Raymond James. Please go ahead.
Pavel Molchanov – Raymond James: Hey guys, congrats first on some good operational metrics at the plant. When do you think you’ll be at a point where you can give more specific guidance on production and sales volumes? Is there something that needs to happen to give you guys comfort to do that?
Mark Smith: I feel better talking about it more specifically once I see what issues wrap against in running the plant and all integrated. These are what it will be. I already have a pretty clear view actually of what we’ll do. We’re going to run it, start it up, we’ll run it at certain level. It’s just pretty hefty level. We’ll push it to figure out further, and then we’ll settle down on its ongoing production. But it’ll be ongoing run rate increasing as it goes into the marketplace. So it’s an ongoing commercial basis basically. So those kind of rates increasing. And then as I said, the goal is to have the plant level EBITDA positive by second half of next year. And so that the balancing act of cost production selling price, run rate all god.
Pavel Molchanov – Raymond James: Okay. You’ve said before that before you start the construction of red field you want to make sure Laverne is fully optimized. So should we take that to mean that you’re not going to start red field until the second half of next year?
Mark Smith: What’s interesting is we have several actions that have popped up lately. Red field by the way is a great partner and that’ll be a great opportunity. And you’re right, until we have it up for the technology pin down, we’re really confident that this is what we want to do. We aren’t going to deploy red field. What’s interesting is that we’ve been doing the engineering the whole way of how to do the technology a second time. In other words, not repeat the mistakes the first time. We’ve got a pretty grasp of that. So this is the case of us having the money available to do it. There are several possibilities; red field, great opportunity. Another one is to expand Laverne to get the next committed galloons because we’ve been paying attention to that as we’ve gone along and I think I’ve mentioned that in the past conference call. And then the third one is we’ve had quite a lot of interest in people doing, we call them "brown field plants" or side by side plants because here it’s interesting because if somebody say it has 100 million plant. Normally we do pure retrofit. It would be 80 million gallons of isobutanol. I think that there are opportunities for smaller increments side by side so we can do the 100 million gallon of ethanol plant and we have extra grow in capacity of utilities. You might see something where it is a 30 million gallon isobutanol plant, for example. So there are several ways to go about that and will be interesting. But those are all well down the road of engineering.
Pavel Molchanov – Raymond James: All right. I appreciate it, guys.
Mark Smith: Yes.
Operator: Our next question comes from John Quealy from Canaccord Genuity. Please go ahead.
John Quealy – Canaccord Genuity: Hey, good afternoon folks. Just back to some nuts and bolts on the PNL for the next couple quarters. In terms of corn-based product, what’s the sales like moving forward out of the inventories in another couple of million bucks? Or how should we think about it, Mark?
Mark Smith: You’re talking about isobutanol or other product?
John Quealy – Canaccord Genuity: Yes, other product. Yes. Sorry.
Mark Smith: Oh, excuse me. Yes. It’s going to be fairly consistent over the next couple of quarters that sums the sale of corn. We will not be selling corn anymore. And as Pat mentioned, we haven’t given any, and will not give specific guidance about what’s the selling price of isobutanol will look like. In terms corn, we’re looking to be a buyer of corn over the next couple of quarters as we build back up the inventory. And as Pat mentioned, we’re going to benefit from the fact that corn prices are trending significantly down which makes the transition that we saw from the first half when we sold off some of their excess corn to the second half when we’re building up corn. It’s beneficial for us.
John Quealy – Canaccord Genuity: Okay. And then lastly, to your comment at the beginning of the call about shrinking cash burn a little bit, how should we think about that from an operating expense perspective? Obviously, you still keep the R&D going, legal hopefully backs off a little bit. But how should we think about the puts and takes on OpEx in an overall environment where it sounds like you’re going to try to slow the cash burn of that?
Mark Smith: Yes, I think we have slowed the cash burn. If you look year-over-year, it’s more than 20% down as OpEx burn rate. And I think that’s pretty consistent with the way you’re going to see us running from an OpEx. This is going to continue to be some variables. Yes, we’ve taken actions and you’ll see some backing down of legal expenses as it relates to litigation. Don’t forget that we pay interest on our convertible debt every six months. So we paid that in June. That’s why you saw a little bump up in Q1 than you’ll see in Q2 versus Q1. You’ll see a little bump up at that same pattern between Q3 and Q4. But overall, we’ve got our expenses under control. We’ve got our operations lined up to properly support the start up the operation at Laverne. I would expect a little bit of movement upward on the working capital site as we start to build up our inventory. But as Pat said, the relief on that side comes when you do make some sales and you get to turn the receivable following the cash. That’s the best guidance we can give you through this point.
Pat Gruber: And the other thing we do is being wise. So the reason we did this to single train mode to remind everybody is that when we start this plan, this is not a demonstration plan, it’s not a little pilot plan. This is, like, really, really a big plan, right? So what we learn last year quite a lot about how to run the plant and we had just too much infection for us to deal with, and so we step back and remember the environment. It was $7.58 corn. Here, it’s looking good. We’ve mastered I think how to manage those infections, how to do the operations, that’s what we’ve been practicing. It’s time to put it all together with cheap corn and get on with life.
John Quealy – Canaccord Genuity: Got it. Thanks guys.
Operator: Our next question comes from Caleb Dorfman from Simmons & Company. Please go ahead.
Caleb Dorfman – Simmons & Company: Good afternoon, guys.
Mark Smith: Hey.
Caleb Dorfman – Simmons & Company: I just know some of the early runs last year. There were some consistency issues with isobutanol which was actually being produced. Do you have any update on the quality of the product which is coming out of the plan this year?
Mark Smith: Very good quality compared to last year.
Caleb Dorfman – Simmons & Company: And what’s driving that?
Mark Smith: The infection. So what happens is that when we have an infection, the invading bugs, bacteria, for instance make lactic acid or they might make some ethanol or might make whatever. And then if that’s variable, then they’ve causes your operation to be a little bit variable. So we’ve waddled those kinds of infections down. We’ve also put some equipment in to help separate, for instance, ethanol should it ever arise.
Caleb Dorfman – Simmons & Company: That sounds great. So 100% of product, which is coming out now is basically saleable product?
Mark Smith: Yes. The isobutanol is a saleable product, yes.
Caleb Dorfman – Simmons & Company: Great. That’s great. And then looking at I guess Gevo looking at a higher level, I guess there’s been a lot of talk about our efforts to recently the EPA came out with 13 guidelines today. How do you view the potential changes in ‘14 in our efforts to impact in Gevo. And will this likely win the prices? Have you figured out a way to capitalize that, on that in the short term?
Mark Smith: You know we have. It’s very interesting. And the [inaudible] was pretty fascinating. I think that the EPA came out with pretty high run requirements. And that will, I think, upset lots of folks. But I kind of like it. Butanol gets 1.3 rinse compared to an ethanol that gets 1. And that’s interesting for people. It also has the benefit that butanol has some nice fuel properties. And so we’ve been in the last month or so, we’ve had quite a few people who do blending and were refiners who have been knocking on the door. They recognized that it’s time to talk to us and get on with life because we’re entering the production pace on ongoing basis. So there’s opportunity as what it creates. Lots of interest in marine fuels, lots of interest in automobile fuel interestingly enough. So we have to go sort through it. I hope that EPA remains consistent.
Caleb Dorfman – Simmons & Company: That’s interesting. So I know that for a long time you’ve always talk about the, first, focus being more on the special chemical with rinse above a dollar somebody. Does that actually mean that maybe it’s more economic to actually sell into let’s say the marine fuel market in the short term?
Mark Smith: I would say yes. That is the case. And so –
Caleb Dorfman – Simmons & Company: Great. Thank you.
Mark Smith: Now remember what we’re going to do strategically is make sure that we have a number of market ceded. So we still continue to do the, specially chemicals because we know what that’s like. It doesn’t depend on rinse. We know that there’s opportunities for doing the conversion of isobutanol into butylene and into jet fuel. And products like that, people get that. And there is demand there as well and it’s interesting. And in the gasoline blend stocks, it looks like it has potential as well. But the idea is to make sure we are into economy that we have multiple market applications. That’s part of the game in how we will use it to develop this market because I recognize fully what today is something different than what it is 12 months, 24 months, 36 months.
Caleb Dorfman – Simmons & Company: Thank you.
Operator: Your next question comes from James Medvedeff from Cowen & Company. Please go ahead.
James Medvedeff – Cowen & Company: Good afternoon.
Mark Smith: Hey, James.
James Medvedeff – Cowen & Company: Let’s see. I want to go back to the concept of the cash burn rate. According to my math here, you burned about 10 or 11 million in the quarter. Is that about right?
Mark Smith: That’s 13.5.
James Medvedeff – Cowen & Company: 13.5?
Mark Smith: That comprehends OpEx and working capital, CapEx and debt payments.
James Medvedeff – Cowen & Company: Oh, and debt payments. Okay. That was the data there. So then as you rebuild inventory, I guess you sold $900,000 worth of corn this quarter. How much did you sell in Q1?
Mark Smith: About $2 million worth.
James Medvedeff – Cowen & Company: So you’ve got about $3 million. Well, it’ll be a lower price. You’ve got $2 million of corn to add into inventory, right?
Mark Smith: Well, we’re going to continue to acquire corn as we needed. I’m not sure what you’re trying to get to, but overall it’s 750,000 bush hold of corn.
Pat Gruber: But we’re not going to –
Mark Smith: But we’re not looking to run them for either.
Pat Gruber: If there was $4 corn, we think about it. But it’s not $4 corn yet.
James Medvedeff – Cowen & Company: Getting there.
Pat Gruber: I like that a lot. It makes my heart happy, I got to tell you.
James Medvedeff – Cowen & Company: So another question that I had is on the original or recent guidance or recent expectations were to reach the ability to demonstrate a million gallons a month run rate. And that was somehow tied into cash flow breakeven at plant level as I recall. And now you’re not giving what that level of production would be. So what has changed –
Mark Smith: Yes, the economics around the fermentation and what our capability is and how we run the fermentation. So, some of the cap equipment that we put in changes things. So we have to develop our full view of what the exact breakeven run rate is. I think for us right now a good boggy number still probably is to say it’s a million gallon among run rate to be at EBITDA positive. Although what it really is, I expect it to be something less. But I don’t know that yet to give better guidance.
James Medvedeff – Cowen & Company: Okay. And when you say 80% purity or 80% yield is good or greater than 80% is good, greater than 90% is great, I thought originally the goal was to get to sort of 94, 95.
Mark Smith: Yes, we’ve shown that to the end. But the way you run this fermentation is you’re doing – it’s never one parameter, you have the whole how do you run the plant and the balancing act against parameter, so for instance the productivity. For instance, if I increase my productivity, I might train it off for a little bit of yield if that gives the best economic result.
James Medvedeff – Cowen & Company: Right. Understood.
Mark Smith: Yes. So it’s those kinds of balancing acts that we do. And I tell you what, the amount of what we’ve learned for this summer – and it’s actually going back at the beginning of the year because we have to do the modifications of plan of testing to get rid of these infections. It’s been a tremendous amount of work. Our team did an outstanding job. The folks at Laverne did an outstanding job and it’s been basically operating in a startup mode for a year because they never really went anywhere or quit from last year. They were still here resolving the problems, modifying the plan, tweaking things and working their butt off and assisting with our people here. So those learning, it’s nice. It makes me feel good. We got a thousand full reduction in infections. So that gives me a lot of confidence. And it’s done without going to any super doper precautions. We basically are learning how to do it. So, that’s a big deal.
James Medvedeff – Cowen & Company: Yes, that’s tremendous and I congratulate you on it. Thank you very much.
Operator: We have no further questions at this time.
Mark Smith: All right. Thank you everybody. I appreciate your attention. Have a good afternoon and evening.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.